Operator: Good day, and thank you for standing by. Welcome to the Canada Goose Q4 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Amy Schwalm. Please go ahead.
Amy Schwalm: Thank you, operator and good morning, everyone. With me are Dani Reiss, Chairman and CEO; Jonathan Sinclair, EVP and CFO; and Carrie Baker, President. Our call today, including the Q&A portion contains forward-looking statements. Each forward-looking statement, including our financial outlook is subject to risks and uncertainties that could cause actual results to differ materially from those projected. Certain material factors and assumptions were considered and applied in making these forward-looking statements. Additional information regarding these forward-looking statements, factors and assumptions is available in our earnings press release issued this morning, as well as the Risk Factors section of our most recent Annual Report filed with the securities regulators. These documents are also available on the Investor Relations section of our website. The forward-looking statements made on this call speak only as of today and we undertake no obligation to update or revise them. Lastly, our commentary includes certain non-IFRS financial measures, which are reconciled at the end of our earnings press release. With that, I will turn the call over to Dani.
Dani Reiss: Thank you, Amy, and good morning, everyone. Earlier, we released our Q4 and fiscal 2022 results, as well as our outlook for 2023. Despite the challenges in today's environment, I'm proud that we are closing the year with record sales breaking the $1 billion mark for the first time. We are also ending fiscal 2022 with confidence and conviction in our brand, our business and our team. It's against this backdrop that I will share our plans to achieve an even stronger outlook for the year ahead. We are excited about the key investments and progress we have made to significantly accelerate earnings growth in fiscal 2023. We expect to generate between 19% and 21% EBIT margins and revenue between $1.3 billion and $1.4 billion. This translates to EPS growth in the range of 47% to 74%. Turning to our results from the fourth quarter. From a geographic perspective, our retail performance in North America was the biggest driver of growth. Consumer confidence remains strong and shoppers have returned to pre-pandemic trends. We saw a similar environment in the U.K., which drove immediate increase. In the Rest of Europe, we saw softer local and international traffic trends. APAC was the only region that declined due to ongoing COVID restrictions, including store closures in Mainland China. The Chinese government has a strong track record of being very proactive in containing COVID outbreaks. We do not expect the prevailing circumstances to have a meaningful impact on results in our busiest season, which is reflected in our outlook. Recently, many peers have pointed to continued production and supply chain challenges, as well as logistical delays. This was not a factor for us in the quarter, nor do we expect it to affect the year ahead. We continue to be uniquely insulated against supply chain issues due to our Canadian manufacturing, which accounted for 84% of our total units in calendar 2021. As I mentioned earlier, we marked a revenue milestone in fiscal 2022. We also laid the foundation to achieve our fiscal 2023 targets on our way to the next $1 billion in sales. I would like to recap some of our announcements from this past quarter. Last month, Carrie Baker, a Canada Goose veteran and previously President of North America was appointed President, Canada Goose. This new role consolidates our commercial leadership team and marketing under Carrie. I am so excited to see all that Carrie is going to accomplish given her incredible track record. In March, we announced the appointment of Belinda Wong, Chairman of Starbucks China and Executive Vice President, Starbucks, to our Board of Directors. Belinda has more than 20-years of extensive experience in China and the Asia Pacific region, and I'm thrilled to have her on our Board. And finally, we are very excited about recent developments to accelerate our business in two key markets in Asia-Pacific building on the successful foundation that we have built in Mainland China over the past four years. Recently, we signed a distribution agreement with Lotte Group to significantly grow our South Korea business. This is a major untapped market in terms of both size and influence. This agreement allows us to further develop our brand in the country's best locations, while providing a clear longer-term path to retail expansion and direct participation. As well, in March, we announced Canada Goose Japan, a joint venture with our longstanding partner, Sazaby League. Japan is the second biggest market in Asia, and one of the most influential luxury market in the world. This joint venture will have an immediate impact on revenue and gross profit. We expect Canada Goose Japan to double its revenue contribution this year versus last year and at a higher gross profit per unit. This new venture will accelerate our direct-to-consumer expansion in Japan and I look forward to updating you on our progress. This leads me to the first tenet of our long-term growth strategy driving our direct-to-consumer mix higher. In 2022, DTC revenue represented more than two-thirds of our business at $740 million. I am incredibly proud of our trajectory having only opened our first e-commerce site in less than seven years ago. Not only is our DTC strategy driving revenue growth, but it is driving the most profitable growth for us. In 2022, our DTC gross margins were 76% with contribution margin in the high 40s. In fiscal '23, we plan to continue to expand our retail network adding up to 13 stores globally. We also planned to strengthen our e-Commerce business by expanding our omni-channel operations to the UK, as well as launching a new e-commerce site in Europe. Not only that our direct-to-consumer business allow us to reach consumers when and where they want to shop, it allows us to build deeper relationships and gain even stronger insights. Penny Brook, our Chief Marketing Officer, is now also leading consumer experience, and there couldn't be a more passionate person to take this on. Putting the customer at the heart of every decision we make has long been a top priority for us. Earlier this month, Forbes Magazine named Canada Goose one of the most consumer-centric brands in the world and we could not be prouder. I look-forward to the new heights we'll reach under Penny's leadership. Category expansion is another key driver of our growth strategy. We are seeing tremendous success from our year-round non-parka offering. In 2022, we saw our non-parka revenue grow by more than 70%, driven in large part by our lightweight down vests and apparel. This represents a huge opportunity for us and I'm thrilled at the success we're seeing across such a large assortment of product categories. We also believe our products will reflect our commitment to protecting the planet. That commitment starts with the material we choose using more recycled, organic and other responsibly sourced inputs. Our Kind Fleece is an ultra-soft breathable fabric made with recycled and bio-based materials. This new Fleece is one of our latest products that reflects our human nature platform to keep the planet cold and the people on it warm. Being a leader in sustainability is another key focus for Canada Goose. As part of that commitment, we recently issued our third Annual ESG Report. We continue to make important progress on our materials and operational goals. Most recently, we became Responsible Down-Certified as a brand and as a manufacturer. On the operations front, we continue to track well against our goal of net zero carbon emissions by 2025. In January 2022, I was also very proud to sign Canada Goose to the United Nations Global Compact. We remain absolutely committed to respecting and protecting the fundamental human rights of those directly and indirectly are part of our company and supporting inclusive, safe and healthy working conditions. Before I turn it over to Jonathan to discuss the results and outlook in more detail, I want to thank the global Canada Goose team for all their efforts in building an even stronger foundation for future success. Our brand relevance and pricing power enable us to move with confidence in pursuit of the tremendous growth opportunities in front of us. Our confidence is reflected not only in our guidance, but also in our repurchase of over CAD250 million in shares this past year. We look forward to an unprecedented year ahead and updating you along the way. And now, I'll hand it over to Jonathan who will discuss our results in greater detail.
Jonathan Sinclair: Thank you, Dani, and good morning, everyone. With fiscal '22 wrapped up, we're pleased with our momentum and optimistic about the year ahead. Despite new waves of disruption in certain markets, we believe current trends in our business are strong. Consumer behavior and retail traffic are normalizing in many markets and our unique supply chain has become an even greater advantage. Carrying this momentum into the year ahead, we have many powerful levers to grow and to increase profitability. First, I will start by looking back at the fourth quarter. The current quarter ended on April 3, 2022, and that's one week later than the comparative period. The seasonality of our business makes the impact of this significant. For that reason, we have also provided figures that use the same set of trading weeks in both periods. We believe that this better reflects our trajectory going into fiscal 2023. On a reported basis, total revenue in Q4 increased by 7%. At a channel level, DTC growth was 8% and wholesale growth was 4%. Using the same trading weeks in both periods, total revenue would have increased by 24%, with DTC growth of 28%, and wholesale growth of 8%. Looking at gross margin, it's great to see the power of our algorithm working so well in these times. Both DTC and wholesale gross margins expanded, compared to the prior year, coming in at 76.1% and 33.6% respectively. Going further down the P&L, adjusted EBIT margin expanded to 5.6% and adjusted EPS was $0.04. For the full-year, both metrics landed at the top end of our outlook ranges with adjusted EBIT margin of 15.9% and adjusted earnings per share of $1.09. Moving to our outlook for fiscal 2023, the two things that stand out are the breadth of our opportunities and the resilience of our operating level. We have many powerful levers for growth and for margin expansion with a high degree of supply certainty and limited supply pressures. Starting with the top line, we expect total revenue of between $1.3 billion and $1.4 billion. The DTC, this assumes low to high-teens comparable sales growth alongside continued expansion of our retail network and our omni-channel capabilities. At this stage of our journey in DTC, like-for-like growth becomes the biggest driver, and we will be providing this to you as we progress through the year. The total channel is projected to reach 70% to 73% of our total revenue this year. In wholesale, we expect revenue to increase by approximately 6%, continuing our strategy of controlled complementary growth. From a geographic perspective, a major new catalyst is our recently formed joint venture Canada Goose Japan with our former distributor Sazaby League. We expect the JV to contribute $60 million to $65 million in total revenue in fiscal 2023. The timing of this revenue is somewhat later in the year, as wholesale shipments to the JV will no longer be recognized as revenue upon shipment. As Dani mentioned, this unlocks a more significant and profitable Japanese business with a longer runway. We expect to realize an immediate uplift in revenue per unit from our existing volume in this market. We also have a stronger economic model to fund DTC expansion and bring the full breadth of Canada Goose to the consumer, alongside the local expertise of a trusted world-class partner. Another key contributor to our outlook is product expansion. Non-parka revenue grew by 70% in fiscal 2022. Alongside continued growth in our core, consumers are embracing our earlier stage categories. We expect these products to continue outpacing the overall growth of the business. Certainty of supply in a dynamic external environment is another important piece of confidence behind our outlook. While others are now starting to bring back production, we've always been there. In our most recent calendar year, 84% of the units made or purchased were from Canada, followed by Europe with 14%. This geographic mix is very unique. We are not experiencing any significant supply disruptions and we're going into the coming year with a high degree of flexibility in our inventory position. Moving past revenue, fiscal 2023 represents a major step up in profitability with an adjusted EBIT margin of between 19.2% and 20.7%. This is underpinned by three key drivers, gross margin expansion; lower SG&A growth; and improved retail productivity. We expect consolidated gross margins to be in the high-60s as a percentage of total revenue with expansion driven by the DTC mix shift. At an individual channel level, we feel good about preserving our typical levels, while funding investment in earlier stage categories. We have a long history of taking price in excess of cost inflation, which is grounded in the quality and functional value that our products provide. As a vertically integrated manufacturer with high AUR products, we have fewer inflationary pressures. As restrictions in our manufacturing facilities have subsided, output is ramping up and overhead absorption is improving, providing an additional tailwind. To finish on gross margin in wholesale specifically, we have a one-time step-up from the conversion of our Japanese business shifting from our largest distributor market to a joint venture. As we've noted in the past, international distributor sales come in at a significantly lower gross margin, compared to a direct sales to a wholesale partner. This change eliminates that. The second driver is lower SG&A growth. Fiscal 2022 is a year of significant upfront investment including our footwear launch. We also resumed a much more offensive stance with demand creation and operational spend coming out of the first wave -- front-weighted to the earlier parts of the year. For fiscal 2023, we expect a lower level of growth in SG&A. The last piece is retail productivity. We expect improved traffic alongside lower levels of closures and restrictions to drive greater profitability in our stores. In markets, which are currently unrestricted, we have seen a strong rebound from local consumers, as well as the green shoots in international traffic from North American and European consumers. Our margin outlook is not dependent on a full recovery of international traffic, nor on the return of traveling Chinese consumers. Bringing all of this together, we expect adjusted EPS in the range of $1.60 to $1.90, representing growth of 47% to 74%. This is purely organic as the underlying share count does not assume any incremental share buyback activity. Before we wrap up, I'd like to touch briefly on our embedded view for quarter one. We expect total revenue of $60 million to $65 million. In our seasonally smallest quarter, this represents a lower rate of growth than our annual expectation for two reasons. The first is ongoing closures and restrictions in Mainland China. Four stores are currently closed with traffic significantly impacted at those that are open. E-commerce logistics have also been disrupted. Well, generally consumers in this market are understandably not immediately focused on discretionary consumption. We believe that this is a transitory headwind in a very low impact trading period. Underlying brand demand remains robust. Our experience in the first wave also shows how quickly and significantly Mainland China has rebounded from disruption. Our outlook assumes a return to regular trading levels in this market during the peak selling season. The second dimension is the conversion of our Japanese business to a joint venture, which shifts revenue recognition later from shipment to the distributor to shipment to the wholesale partner. Q1 was previously a significant shipment window to this partner each year. For this reason, and only this reason, we expect wholesale revenue growth to be slightly negative. For adjusted EBIT, we expect a loss between $80 million and $75 million. And that flows down to an adjusted loss per share of $0.64 to $0.60. In closing, we navigated through a disrupted year and came out stronger. We are eagerly looking at the year ahead with accelerating growth markets and rising consumer demand for emerging product categories. In addition, improved retail productivity, gross margin expansion and reduced SG&A growth will drive our bottom line. Underpinning all of this is our unique supply chain, which enables us to always have products available and to effectively navigate a more inflationary environment. We are very optimistic for the year ahead and confident our strong momentum will make fiscal '23 a standout year. With that, I will pass it over to the operator to begin Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Ike Boruchow from Wells Fargo. Your line is now open.
Ike Boruchow: Hey, good morning, everyone. First, just congrats to Carrie, kind of curious, stepping into the new role, what your biggest priorities are to take the brand to the next level? And then maybe, Jonathan, just more specifically on the outlook. Thank you so much for all the quarterly cadence, that’s helpful. But the comment on Mainland China, can you just expand on how we should think about the bridge from 2Q to 3Q? You're talking about returning to regular trading by peak season. So does that mean you're assuming continued business under pressure in the second quarter? And when you say returning to normal, I think, something along those lines for peak season, is that relative to pre-COVID levels? Just trying to understand exactly what is embedded for China during your peak season sales? Thank you.
Carrie Baker: Good morning, Ike. Thanks for that. So I'm very excited to take on the new role and to work alongside Dani as a day-to-day we run global commercial operations, which will give him more bandwidth for long-term strategic initiatives. So when I think about all of the commercial opportunities in front of us, my biggest priority is to make sure that we execute with excellence, and that means being purposeful, disciplined about creating impact in everything we do. So both from a consumer perspective but also from a financial perspective. And the great news is we have an incredible brand, a strong business model and an incredible team to bring that all to fruition.
Jonathan Sinclair: Okay. And if I may, let me just talk a little bit about China. Obviously, it's -- we've seen Mainland China being negative in Q4. And right now, there are closures, there are disruptions in the current quarter. And what we're looking for is a gradual build back as China opens up again. Now, what we do know is that we've seen these types of disruptions before and we've seen that they've been typically quite temporary. And Mainland China has proved to be a market, which has bounced back quite quickly from. So in other thinking, we are, obviously, expecting Q1 to be heavily impaired. And then as we move forward, Q2 showing that gradual improvement and a normal level of business in Q3.
Operator: Thank you. Our next question comes from the line of Oliver Chen from Cowen. Your line is now open.
Katy Hallberg: Hi, good morning. This is Katy on for Oliver. Thanks so much for taking our question. I would love to know a little bit more about the wholesale channel and how that's sort of progressing versus your expectations? And sort of what are you seeing within the wholesale channel? And is there any sort of deterioration on the consumer front there? Or is it just about in line with your DTC channel? Thank you so much.
Dani Reiss: Katy, thank you for your question. Our wholesale channel is progressing as expected and very well. Last year, our sell-throughs at wholesale were very, very strong and we're happy with that this year. Our wholesale order book has increased as expected and remain in single-digits, and we will continue to strategically work with wholesalers to enhance the valuable ramp. And consumers have been responding very well and consumers in the United States is -- the consumer behavior has returned to pre-pandemic levels and United States is absolutely much harder and we're really excited to see that both on our own channel and through wholesale channels.
Jonathan Sinclair: I'd add that the wholesale assumptions behind our guidance, obviously, pounded on our order book and so we feel we're in very good shape.
Operator: Thank you. Our next question comes from the line of Jonathan Komp from Baird. Your line is now open.
Jonathan Komp: Yes. Hi, good morning. Thank you. I want to ask about the initial revenue growth guidance for 18% to 27% growth. Could you maybe just help bridge the difference, compared to your typical thinking? I think pre-COVID several years ago, you have three-year targets closer to the mid to high-teens. So maybe if you could reconcile the difference this year? And then on the earnings growth going forward, given that the EBIT margin still is quite a bit below peak, do you think there could be several years ahead where you see faster than the typical, I think, it was 20% earnings growth that you used to outline?
Jonathan Sinclair: So taking those in sequence, as far as the revenue growth is concerned, we're looking at a healthy level of comp growth underpinning how we see the business developing. We're very clear about our pricing power. We're very clear that, that's going to enable us to see some components that together with some unit growth, as well in our like-for-like stores alongside, of course, the development of the retail network. We've already talked about wholesale in that context. We – obviously, we've shown a range life has its uncertainties at the moment, but we feel pretty good about this level of growth in this environment and we see this as very consistent with our longer-term ambitions. On earnings, clearly, getting ourselves back to the 20% mark and beyond is very important, it’s something that's a big focus for us. This year marks an important step in that journey, but it's an important step. It's not the end growth. And so as the business continues to grow, I see this is something that we should expect to see continue for some time to come.
Jonathan Komp: Okay, thank you.
Operator: Thank you. Our next question comes from the line of Michael Binetti from Credit Suisse. Your line is now open.
Michael Binetti: Hey, guys. Thanks for all the additional detail in the press release on the guidance here. Very helpful. Maybe -- I know you said -- I think you said $60 million, $65 million in distributor change. I just want to clarify, maybe you could help us think about how much is incremental in the Japan, Korea change to the revenues you're generating last year under the old distributor model and how that change influences the -- how much that change influences the overall company margins accretive or dilutive, I guess? And then I think when we talked a few quarters ago and in the last quarter, you thought maybe margins could get above 20% this year. You talked about a lot of room for expansion. I thought 20% was a low watermark. I see you have at least low end of the range, a little bit below that right now. I'm more wondering, if you've embedded some incremental conservatism since we talked about that or relative to China or anything going on or if there are some new costs that you've contemplated that you want to go after for the business this year?
Jonathan Sinclair: Okay. Thanks, Mike. So I'm going to -- let's talk about JV, first of all. Obviously, there's an optical change in the reported level of revenues, which is roughly doubled. And so that essentially is -- if you like the overnight impact on the revenue from that market. Over time, we see this as a very high EBIT margin market and we're very optimistic about it. We see that founded on the development of DTC is an important component of how we participate there, that's how the Chinese market is structured. And we expect to see a lot of activity there. Obviously, JV is presently a month in, so it's early days, but we're very committed towards them about how we see that changing. When it comes to margins overall, as you just have me described, 20% point on the journey, we're dealing with some uncertainties. Frankly, in this quarter, we're not expecting to do any material business in Mainland China, and that's embedded in the comments that we already made. And therefore, we'll accommodate in that in the ranges that we've given. So as things improve and we're confident they will, then we resume our journey towards the sort of levels we've enjoyed in the past. The fundamental earnings model here hasn't changed and just these circumstances we need to navigate.
Dani Reiss: Yes, on the second Jonathan [Technical Difficulty] fundamentals have not changed. Pre-pandemic, we were in the 25% range, and we expect to get back there and beyond that and continue on our journey towards 30% as international tourism and profit trends are back to normal to pre-pandemic world.
Operator: Thank you. Our next question comes from the line of Meaghen Annett from TD Securities. Your line is now open.
Meaghen Annett: Thank you. Good morning. So looking at the balance sheet, still in a position of strength. Can you give us an update on your capital allocation priorities, specifically how you're thinking about share repurchases in fiscal '23? And is there anything we should be thinking about in terms of major capital investments forthcoming near term? Thank you.
Jonathan Sinclair: So our capital allocating priorities haven't changed in the sense that the best use of cash for us is to invest in this business. We continue to enjoy very high ROIs in our store estate, and obviously, that's an area we continue to invest in. The -- we also invest in our manufacturing facilities, as well as part of scaling the business as we continue to grow. But fundamentally, we don't see a very different level of underlying capital expenditure [Technical Difficulty]. To the extent that we have -- we build surplus capital up in the business, then we look at it how we -- how else we might allocate it. You've seen in the past, when we believe there are opportunities, we've been in the market and conducted a buyback. The current NCIB is fully exhausted and so we'll keep that under review over time.
Operator: Thank you. Our next question comes from the line of Brooke Roach from Goldman Sachs. Your line is now open.
Brooke Roach: Good morning. Thank you so much for taking our question. Can you provide some color on the assumptions that underpin your confidence in achieving a low to high-teens comp improvement in your DTC business this year? How does that break down by geography? And then specific to the North American domestic consumer, where momentum has just been particularly strong, how are you planning the year in that region? Thank you.
Jonathan Sinclair: So when -- in terms of the comparable growth, we are assuming two or three things. First of all, we've got the normal impact of pricing, we're developing our product categories, so we expect unit growth. But I think the other dimension is, of course, we do expect a gradual resumption of traffic to continue, and therefore, that's something that we are factoring in as well. We don't feel that this level of comparable growth is egregious as the business continues to go back, and therefore, we feel pretty confident about it. I'm going to pass over to Carrie to talk a little bit about the North American piece.
Carrie Baker: So for North America, we see continued growth. Obviously, we're very strong at home in a mature market, but the U.S., in particular, I would say, is a market where it's very early days. We have strong opportunities. We have opportunities to get outside of the Northeast, and that's what we've already seen through this year and expect that to continue next year as well.
Operator: Thank you. Our next question comes from the line of Adrienne Yih from Barclays. Your line is now open.
Adrienne Yih: Good morning. It's great to see the progress. Dani, I wanted to -- if you, kind of, dig in on the comments that you made about the pricing. So where are you relative to 2019 pricing levels? What is your initial price increases for 2022? And I know you don't have to give them and maybe just some color because I imagine you don't want to give the actual number? And then maybe, Jonathan, can you -- relative to average unit cost, you had said that the price increases would be above kind of the inflationary aspect of it. Can you give any color on maybe how that impacts the flow through of the basis points on gross margin? Thank you very much.
Dani Reiss: Thank you for your question. So our ability to continue to take price year-after-year is one that's underpinned by the value that we provide in our products. Every year, we [Technical Difficulty] and that is because across our best-in-class made in Canada we they perform function first, and I don't believe that there's a better value to product in the market of our kind today. And that's what enables us to have the levers to increase our prices as needed.
Jonathan Sinclair: And I think when it comes to thinking about the cost pressures, they're not that significant. Remember, we're manufacturing a lot of this ourselves. So that, that helps on one dimension a little bit. We obviously -- we do see some cost price pressure in raw materials. It's not particularly significant. But when you're dealing with margins that are fundamentally wide in first place and relatively high AURs, then actually, you don't really see too much pressure on it. The other point is I'll remind you the algorithm that we use is one of tailwinds and headwinds. The tailwinds include pricing, include scale, include sourcing, and that -- and we invest, of course, in input price inflation, but also in new product development and new category development. And therefore, at a gross margin, at a channel level, we see management's job of keeping the margins where they are and in continuing to invest in the development of the product categories.
Operator: Thank you. Our next question comes from the line of Camilo Lyon from BTIG. Your line is now open.
Camilo Lyon: Thanks and good morning, everyone. I think you mentioned that you're planning on opening 13 new stores. Can you tell us where the stores are planning to open? And then I think, Jonathan, you talked about Q3 returning to normalized levels of productivity in China. Can you just remind us what those look like or actually, if that's true for your assumptions on a store productivity level for China and how that might compare to a more mature market level of productivity like in North America?
Dani Reiss: Thank you, Camilo, for your question. So we're currently planning to open 13 new stores around the world. It's -- these are relatively balanced geographically, all including significant contributions from the States, EMEA and Mainland China and Japan, and it's balanced across all those markets and --
Jonathan Sinclair: Okay. And then when it comes to China, I think the other thing that's really important to remember is that we have enjoyed and continue to enjoy similar levels of sales density in Mainland China that we do in the rest of the world. So when that business is not impaired in terms of traffic, that's what we enjoy, that's what we expect to enjoy this year.
Operator: Thank you. Our next question comes from the line of Robby Ohmes from Bank of America. Your line is an open.
Alex Perry: Hi, thanks for taking our question. This is Alex Perry on for Robby. Just first, I wanted to ask, what does the guidance assume for North America store traffic? Maybe I think you talked about some green shoots you're seeing in terms of the international tourists. Maybe give us a little more color there? And are you back to pre-pandemic traffic levels in your domestic stores despite the absence of the international travel -- travelers? Thank you.
Jonathan Sinclair: So as far as North America, generally, I'm going to segment that into the U.S. and Canada. I think when it comes to the U.S., we already talked about the fact that we were seeing a very strong rebound in traffic and pre-pandemic levels of sales. And we talked about that extensively at the end of Q3. I think that's something we expect to continue. Remember, we did all of that with pretty much domestic frankly. I think when it comes to Canada, when it comes to the domestic component of traffic that is coming back to where it was. Obviously, international will come back when it comes back.
Alex Perry: Perfect, thank you.
Operator: Thank you. Our next question comes from the line of Mark Petrie from CIBC. Your line is now open.
Mark Petrie: Good morning. I just wanted to follow-up on [Technical Difficulty] question [Technical Difficulty] I wonder if you can sort of share any commentary with regards to the sale mix and the sales growth, sort of, by category versus other markets? So I'm not looking for specific numbers, of course, but just on a relative basis, is there any difference in the take-up on lightweight down, accessories or footwear in Canada versus other markets? And then also appreciate that you take a measured approach to new product launches. But just wondering if you could share any comments with regards to the response to the footwear launch and anything you can share with regards to your expectations for growth in fiscal '23? Thanks.
Jonathan Sinclair: I think the important thing to understand here, Mark, is that it's less about the geography and more about the channel. So in other words, what's important to us is how we tell the stories around our new product categories, how we build out consumer franchise and how we make those adjacencies work in our stores around the world. And therefore, we -- that's something that we deploy in Canada and we deploy in the U.S., that we deploy in Europe and we deploy in Asia, and that's the global footprint that we see. Therefore, we don't see a differential in how consumers react to it, because it's all about how we tell them the stories. We may see a difference in how consumers react in wholesale versus on our own stores, because obviously, we're curating the offer much more in our own stores. And indeed, we will typically privilege our own channels as we introduce new product.
Dani Reiss: Yes, Jonathan, just to add to that on top -- and to speak a little bit to footwear, it's a really exciting new category for us, which has done well. It has brought a completely new perspective to the marketplace. It exists in a space in the market where I believe there's significant white space and there are comparable products. But at this stage, the collection is small in terms of sales distribution. We start small as typically how we manage new categories and we grow into them. That means it's not a significant revenue contributor today, but we do expect that it will be material contributor to the long term. This is standard. This is part of our playbook, which is to take a disciplined gradual approach to building new categories, and I'm really excited about what lies ahead because I know that this category is a well-balanced category.
Operator: Thank you. Our last question comes from the line of Jay Sole from UBS. Your line is now open.
Jay Sole: Great, thank you so much for taking my question. I guess, I was just hoping you can elaborate a little bit on your comment that your outlook does not depend on a 100% return of international traffic or return of tourism from China. Can you just maybe tell us what the incremental sales impact would be if there was a 100% return of international traffic or return from tourism from China and then sort of compare that to the dollar figure that you expect in the guidance from those factors?
Dani Reiss: Thank you, Jay, for your question. I mean, we didn't feel it was responsible to include a full return of international tourism from China. It's really anybody's guess as to when that's going to happen. A lots of people have got and lot of years and we did not include any of that in our outlook. So I would say that if it were to all return, whenever that might be at whatever point in time, I would imagine there would be a pretty significant amount of [indiscernible]. But at this point, it's not returned, and we've assumed none of it in our guidance.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.